Operator: Good afternoon, and welcome to Fathom Holdings Second Quarter 2025 Conference Call. Joining us today is the company's President and CEO; Marco Fregenal; and Vice President of Finance, Daniel Weinmann. [Operator Instructions] Before I turn things over to management, I want to remind listeners that today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous conditions, many of which are beyond the company's control, including those outlined in the Risk Factors section of the company's Form 10-K for the year ended December 31, 2024, and other company filings made with the SEC, copies of which are available on the SEC website at www.sec.gov. As a result of those forward-looking statements, actual results could differ materially. Fathom undertakes no obligation to update any forward-looking statements after today's call, except as required by law. Please also note that during the call, management will be discussing adjusted EBITDA which is a non-GAAP financial measure as defined by the SEC Regulation G. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure is included in today's press release, which is now posted on Fathom's website. With that, I'll turn the call over to Fathom's President and CEO, Marco Fregenal. Please go ahead, sir.
Marco Fregenal: Thank you, and good afternoon, everyone, and welcome to Fathom Holdings Second Quarter 2025 Conference Call. Today, I'll focus our call on 4 key areas that are critical to understanding our momentum and outlook. First, our second quarter performance and return to adjusted EBITDA profitability. Second, the momentum behind our Elevate program. And third, our strategy and priorities, including partnership and agent programs; and finally, the broader real estate market and what it means for the remainder of the year. The second quarter marked a clear step forward for Fathom with a 36% revenue growth, 25% transaction growth and 23% increase in agent count. Most importantly, we returned to adjusted EBITDA profitability, a milestone that reflects the strength of our model and the progress we made in building a lean, scalable and diversified business. We believe this momentum positions us to sustainable growth, positive adjusted EBITDA growth and revenue growth for the remaining of the year. Our -- one key contributor to our ability to scale profitably is Elevate our Agent Concierge program designed to help agents close more deals with less friction. In just a few months, Elevate has proven its ability to enhance productivity improved agent satisfaction and generate high-margin recurring revenue for Fathom. Elevate is more than a productivity tool. It's an important component of our broader platform strategy and a key differentiator in a competitive market. by layering high-value services on to our low-cost brokerage model Elevate allow agents to focus on serving clients while our concierge team manages marketing, lead generation and administrative tasks. This combination [ delivers ] meaningful value to our agents and creates a scalable recurring revenue for Fathom. The early metrics are encouraging, Elevate agents averaging 8 transactions per year with a strong lead generation that produced over 1,700 leads in July alone. We expect this to grow to 10,000 leads per month by December. And based on historical conversion rates, we see meaningful incremental revenue potential from this pipeline. Transactions from Elevate generate roughly 4x the gross profit and 5x the adjusted EBITDA of our standard brokers transactions positioning Fathom for sustained agent growth and enhance long-term profitability. We're also seeing encouraging early traction with our ancillary services. Approximately 30% of Elevate agents have begun working with our mortgage and title companies. As the number of Elevate agents and transactions continues to grow, we anticipate this to have a positive and increase in impact on the performance of our mortgage and title businesses. Since its launch just 3 months ago, more than 70 agents have fully enrolled in Elevate with another 100 agents expects to be enrolled into the program in the next 60 days. We remain on track to exceed 300 fully on-boarded agents by the end of the year. In the coming months, we expect to announce several key partnerships that we have, we believe, further enhance the Elevate program, including the launch of Elevate 4 teams, which will extend the program benefits to top-producing teams and independent brokerages. Our strategy, which is based on Fathom intelliAgent platform is built to meet agents where they are in their business journey. Our Fathom Max plan offers ultra-low fees and full economy for agents, folks on maximizing income. Fathom Share provides revenue-sharing opportunities for agents building long-term recurring income while earning 1 of the best traditional splits in the industry. Elevate delivers a comprehensive concierge solution for agents taking hands-on support to grow their businesses to the next level. We believe this range of plans and programs make Fathom the ideal brokers for every type of agent regarding of business model or goals. We're also excited to announce a new partnership with Sovereign Realty Partners, we will license both our IntelliAgent platform and the Elevate program. Sovereign Agents will also gain access to Encompass Lending and Verus Title Services, extending the reach of our fully integrated platform while offering their brokers a new revenue stream. It's a true win-win. This agreement, along with our acquisition of My Home Group established a strong presence and foothold in the Arizona market, one of the largest and fastest-growing real estate markets in the nation with approximately 90,000 licensees, and brings aboard and experienced leadership team for more than 80 years in combined commercial and residential expertise. We believe this model creates value for both side and it can be replicated with hundreds of independent brokers nationwide, reducing cost driving productivity and unlocking recurring high-margin revenue. Importantly, we feel this as the first of many similar agreements as independent brokers increasingly seek the technology, network and services we provide to elevate their businesses. Beyond our IntelliAgent technology platform and services, which are the foundation of our strategy, our agent-first culture remains central to our strategy. We were recently recognized as the brokers with the highest agent satisfaction rating by Careers.io and named 1 of the U.S. News & World Report's Best Companies to Work For, both in real estate and across all industries across the Southern United States. It's no wonder our monthly churn rate of less than 1.6% is among the lowest in the industry, reflecting our commitment to agent satisfaction, work-life balance and career development. Finally, our ancillary services, mortgage and title continue to be a growth engine, improving agent loyalty and transaction capture rates while enhancing margins Verus Title delivered record-breaking month in June and both Encompass Lending and Verus are ideally positioned to continue sequential growth. These high-margin services are growing share for our revenue mix and are central to our strategy for margin expansion. Turning to the broader real estate market, we believe that, the stage is being set for a modest recovery in transaction volume during the winter and months into next year, even as the key challenges persist, most notably affordability pressures driven by elevated interest rates and high home prices. That said, several indicators are beginning to trend towards a healthier market. Active listings in June reached 1.1 million units, marking a 29% year-over-year increase and the highest level since 2020, more inventory gives buyers more choices, reducing bidding wars and helping us moderate home prices, supporting a more balanced market. The median days on market rose to 53 days, up from 48 days a year ago. A slower pace of sales eases the pressure on buyers allow for more negotiation and helping prevent sharp price increases driven by urgency. Median listings remained relatively flat in June of 2025 but around $440,000 compared to the same period in 2024. However, some markets are seeing price declines up to 7%. Stable or slightly lower prices improve affordability, making ownership more attainable for a larger pool of buyers. Nationally, and about 20% of listings have reduced asking price with that figure climbing to 30% in markets such as Denver, Tampa, Austin and Phoenix. Price adjustments are a natural part of our rebalancing helping bring homes within reach for buyers that have been priced out in recent years. These shifts suggest that a market is gradually transitioning from a seller's market to a buyers market, coupled with the potential of a lower mortgage rates later this year or into 2026, as the Federal Reserve reevaluates its interest rate policy, we believe that Fathom is well positioned to grow faster than the broader market and deliver continued growth and profitability through the balance of year and into 2026. Fathom is well positioned to capitalize in this modest recovery. Our competitive agent-centric model allows us to grow faster than the broader market in any environment. which reinforces our confidence of the balance of the year and continued momentum into 2026. I will now turn the call over to Daniel Weinmann, our Vice President of Finance, to go over our financial performance for the second quarter. Daniel?
Daniel Weinmann: Thank you, Marco. I'll begin with our financial results for the second quarter of 2025 and then provide a breakdown for performance by business segment. For the second quarter of 2025, total revenue was $121.4 million [ 36.1% ] increase year-over-year compared to $89.2 million for the second quarter of 2024. The increase was driven by a 39.5% rise in brokerage revenue partially offset by a 10.5% decline in revenue from our ancillary businesses, primarily due to the reduction in insurance revenue following the sale of our insurance business in May 2024. Excluding the impact of the divested insurance business, gross profit increased 24.7% in the second quarter of 2025 compared to the same period in 2024. Gross profit margin decreased to 7.7% from 8.5%, primarily due to competitive pricing pressure higher commission splits to attract and retain agents and increase transaction-related costs which offset the benefit of higher transaction volumes. On the topic of gross profit, our gross profit from Q1 2025 to Q2 2025 increased by $1.3 million, while our adjusted EBITDA for the same time frame increased by 114% or $1.5 million reflecting improved operating leverage and a higher proportion of revenue converting to earnings. Technology and development expenses were $1.8 million for the second quarter of 2025 compared to $1.5 million for the same period in 2024. The $300,000 increase reflects continued investments in our technology platforms including the buildout of our direct to agent program at LiveBy and enhancements to our Elevate program. General and administrative expenses totaled $8 million for the second quarter of 2025 compared to $8.3 million for the same period in 2024, with the decrease driven by cost-cutting initiatives. Marketing expenses were $1.4 million for the second quarter of 2025 compared to $1.3 million for the same period in 2024. And primarily due to increased investments in our ancillary businesses. Our GAAP net loss for the second quarter of 2025 was $3.6 million or $0.13 per share compared to a net loss of $1.3 million or $0.07 per share for the second quarter of 2024. The lower net loss in prior year quarter primarily reflected the contribution from our insurance business prior to its sale in May 2024 as well as the recognition of approximately $3 million in gain on the sale of that business. Adjusted EBITDA, a non-GAAP measure, was $29,000 for the second quarter of 2025 compared to $189,000 in the same period of 2024. The year-over-year decline was primarily driven by higher operating expenses related to the integration of My Home Group, increased employee-related costs to support our expanded operations and strategic investments in strength in technology and marketing which offset the benefit of higher brokerage segment revenue. I will now walk through the results of our individual business segments in more detail, starting with brokerage. Revenue for the brokerage segment was $116 million for the second quarter of 2025 and an increase of 39.6% compared to the prior year period, primarily driven by the addition of My Home Group which was acquired in November 2024 and contributed significantly to transaction volume and commission income. The increase also reflects modest organic growth from our existing agent base supported by expanded market coverage. We ended the quarter with 14,981 agent licenses, an increase of 22.6% compared to 12,224 in the same period of 2024, driven primarily by the addition of agents from My Home Group as well as continued success in attracting and retaining agents through competitive commission structures, enhanced support services and targeted recruitment efforts. Gross profit margin for the brokerage segment was 6% for the second quarter of 2025 consistent with the prior year period as higher transaction volumes from the addition of My Home Group and modest organic growth were offset by a proportional increase in commission expenses and other agent related costs resulting in stable margins year-over-year. Adjusted EBITDA for the brokerage segment was $2.1 million for the second quarter of 2025 and an increase of approximately $500,000 compared to the same period in 2024, primarily driven by higher revenue and ongoing cost management initiatives. Talking about our Mortgage business. revenue for the mortgage segment was $3.3 million for the second quarter of 2025 compared to $3.7 million in the prior year period. The decline was primarily due to lower origination volumes resulting from persistently high interest rates. Adjusted EBITDA for the Mortgage segment was a loss of $85,000 for the second quarter of 2025 and compared to positive $15,000 in the same period of 2024. The decline in profitability was primarily driven by reduced loan origination volumes and compressed margins resulting from persistently high interest rates which negatively impacted revenue and operating leverage. Talking about our title business. Verus Title revenue was $1.5 million for the second quarter of 2025, an increase of 90% compared to $800,000 in the same period of 2024, driven by strong organic growth from increased order volumes the expansion of relationships with existing agents and agent work hours. Additional contributions came from targeted marketing initiatives and process enhancement that improved closing efficiency and capacity. Adjusted EBITDA for the Verus Title was a loss of $270,000 for the second quarter of 2025 compared to a positive $80,000 in the same period in 2024. Despite a 90% increase in revenue year-over-year, profitability declined due to higher operating expenses associated with supporting transaction growth, including increased personnel onboarding costs and other investments to expand capacity. With these investments now in place, the business is positioned to drive future growth without the need for a comparable increase in expense -- technology. Third-party revenue was $600,000 for the second quarter of 2025 compared to $800,000 for the same period in 2024. The decline in revenue is mainly due to brokerages and agents reducing expenses to protect margins and therefore, canceling or downsizing technology subscriptions and marketing packages. Adjusted EBITDA loss was $210,000 for the second quarter of 2025 compared to a profit of $220,000 in the same period of 2024, the decline was primarily driven by lower third-party revenue, reflecting reduced demand from industry clients as well as an increased expense related to new software development including product enhancement and platform upgrades which I expect us to support future growth and improve service capabilities. Focusing on our balance sheet. We continue to closely manage our balance sheet given the current real estate market conditions. We ended the quarter with $4.9 million in cash, which includes $3 million received in April from the insurance business sale, partially offset by full repayment of our $3.5 million note. No share repurchases were made in the first half of 2025 under the company's authorized stock repurchase program. That concludes my remarks on the financial results. I will now hand it back to Marco to share more on our strategic initiatives and outlook.
Marco Fregenal: Thank you, Daniel. To wrap up, the second quarter of 2025 was a clear inflection point for Fathom. We delivered strong year-over- year growth in revenue, agent count and transaction volume and return to adjusted EBITDA profitability, all key indications that our strategy is gaining measurable traction. We're beginning to see the tangible benefits of the foundation that we have spent the last year threatening from the early success of Elevate to the continued growth of Verus Title and Encompass Lending. Our platform strategy is no longer just a vision. It's a scaling in the market. This high-margin service based offerings are creating new revenue streams that complement our core real estate business and improve economics of every transaction. At the same time, we're executing with discipline. We have maintained cost control, improve operational levers and made strategic investments where they count particularly in technology and services that increase agent productivity and transaction capture. The balance between growth investments and cost discipline essential to sustaining profitability. Looking ahead, we are focused on building on this momentum. While we recognize that macro environment remains fluid, we believe our model gives us the flexibility and resilience to adapt, and the competitive advantage to continue outpace of the market. As we move through the second half of 2025, our priorities are clear. First, continue driving revenue growth by expanding agent count and transaction volumes supporting our tech-enabled platform and differentiated agent value proposition. Second, increased blended margins by scaling Elevate and deepening penetration across our ancillary services; and third, sustained adjusted EBITDA profitability through disciplined execution and operating efficiency. We are encouraged by the traction we are seeing and remain confident in our ability to build a stronger, more profitable Fathom. I want to express my gratitude to our entire team for their relentless focus to our agents for their trust and partnership and to our shareholders for their continued support as we execute our long-term growth strategy. Operator, we are now ready to open the line for questions.
Operator: [Operator Instructions] It appears we have no questions. I would like to turn the floor back over to Marco Fregenal for closing comments.
Marco Fregenal: Thank you. Thank you, everyone, for joining us today. We appreciate your support, and as always, I'm available for individual meetings. Thank you, and have a great day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.